Operator: Good morning. My name is Jeannie, and I will be your conference operator today. At this time, I would like to welcome everyone to the Energy Fuels Second Quarter 2025 Conference Call. [Operator Instructions] Thank you. Mr. Chalmers, you may begin your conference.
Mark S. Chalmers: Thank you, Jeannie, and thank you for that introduction. Again, Mark Chalmers, CEO of Energy Fuels, and thank you for joining our Q2 conference call today. And I can say with absolute confidence that we had a big quarter with regard to momentum on many fronts, and I don't believe our timing could be any better; namely, rapidly advancement of our Uranium production with very high grades being mined, dropping unit cost, increasing production rates as we ramp up to 2 million pounds per year, and we expect the Pinyon Plain costs looking forward to be around $23 to $30 per pound of finished goods of Uranium, which are exceptional and Q1 cost. We're also rapidly advancing our Rare Earths separations with the expansion of the White Mesa Mill Phase 2 and significantly improved Rare Earths pricing, particularly ex China, where the prices ex China for Dy and Tb are approximately 350% higher than China prices. And at the same time, NdPr prices are up about 20% in the mid-70s in the last month. Our Heavy Mineral Sands portfolio is also rapidly advancing. So, there's no shortage of things to do at Energy Fuels. We received our final regulatory approvals on the Donald project, which is rich in heavies. We're also advancing our feasibility study and nearing the completion of our feasibility study on Toliara, and the other agreements with the Madagascar government and the permits and drilling at Bahia. We have improving financial results, and we have strengthened balance sheet as compared to Q1 '25. Our cost and margins of Uranium production are improving materially as Pinyon Plain ore is planned to be processed starting in Q4. No Pinyon Plain ore has been processed as of this date. As I typically do, I'm going to be making a short presentation to update listeners on the overall strategy of the company and the state of play of the company. I believe that you're going to be controlling the slides. Is that correct? Kim there will be conference replays available at the completion of this conference call on the website. And as always, there will be time for presentations at the end of this presentation. Nate Bennett, our CFO; and David Frydenlund, our Executive VP and Chief Legal Counsel, will be available for questions that I'm unable to answer. In addition, it is my pleasure to have Ross R. Bhappu, our new President, with us. While Ross is new to our organization, he is not new to mining. Feel free to ask questions of Ross at the end of the presentation on his past experience in the resource sector or his first impressions on day 4 with Energy Fuels. So, let's get going. So again, our story is different because we are building a global critically significant critical mineral company. I always tell everybody; I love this picture. This is in San Juan County. It's not far from the White Mesa Mill, which is our critical mineral hub that is advancing in leaps and bounds. Next slide. Okay. I may be making some forward-looking statements. Those are included on Page 2 of this presentation. Next slide. Again, many of you have seen this, really Energy Fuels is basically 3 businesses in 1 with the 3 sectors that we've been advancing and focused and built around our core Uranium business, which, as I said, is ramping up very quickly and turning into immediate cash flow at large scale and low cost, I believe, largest scale and lowest cost in the entire United States and competitively lower quartile in the entire world. And we're very excited. We'll talk more about that. Certainly, the Rare Earths, we're emerging as a global leader on the Rare Earths fronts with our ability to separate NdPr, Dy and Tb and Heavy Mineral Sands with the Heavy Mineral Sands projects that we've acquired for titanium and zirconium minerals. So really 3 sectors basically in one company, Energy Fuels, which those 3 in one equates to about 10 critical elements, which gives us broad diversification in sort of the peaks and valleys and the volatility of a lot of the critical minerals that we've seen over the last couple of years. But all 3 of these segments have one common denominator, and it has a natural occurring Uranium, which is all our basically significant advantage that we have as a company and our ability to deal with that at the White Mesa Mill. Next slide. All of this is in demand. You're hearing about these critical minerals every day, whether it be for energy, defense, mobility, health or improvements in electrification. Uranium, certainly the focus on fuel for clean baseload energy, data centers, space travel, Uranium is back front and center globally and particularly in the United States and developing countries where you're now seeing bipartisan support. Rare Earths Energy Fuels is becoming a leading producer of Rare Earths oxides also used in energy efficiency, automotive, advanced manufacturing, defense and robotics and other technologies. The Heavy Mineral Sands projects that we've acquired are world-scale, world-class and basically contain the titanium and zirconium minerals and monazite. So that is part of those 3 sectors that we have that all fit perfectly together. We also are a leading producer of Vanadium, and we have a Vanadium circuit at the mill. It's currently not operating, but it is the only conventional Vanadium circuit in the United States, and it is also a critical mineral. Medical Isotopes, we're still advancing our R&D work on the potential to recover radium for emerging medical technologies. Next slide. Uranium highlights. We're producing more Uranium than anybody else in the U.S. today. We're mining high-grade ore. As many of you will have seen in Q2, we mined newly mined ore of over 660,000 pounds of Uranium, which was from both the Pinyon Plain Mine, La Sal and Pandora Mines. Now if you extrapolate out that 665,000 pounds, that would be 2.7-million-pound rate. So again, we had very high grades at that point in time. We're not changing our guidance at this point in time, but it just gives some examples of capacity when the right stars align. In 2025, our guidance, so we haven't changed it yet, is between 875 million to 1.4 million pounds of Uranium, newly mined Uranium, where you can see what we produced in a quarter. So we're really getting all the pieces in place when it comes to our mining, including additional trucks to haul the ore from the Pinyon Plain Mine to the mill. But again, this is all ramping up very quickly. And working towards a 2-million-pound run rate, which many of you know I've been talking about for years, well, we're getting there. And this is a run rate that we don't require a lot of capital. We've already spent the capital, and it really is just getting the mining going, getting the miners hired, getting the reagents in place. And, but it is also going to be at very attractive costs. So, watch this space as we ramp up the mining, which then goes to processing. So processing at the White Mesa mill, while we're also building significant inventories at the mill in the first half of the year, we produced 330,000 pounds of finished Uranium, and most of that was a mixture of La Sal ore, alternate feed and cleanup material. So it wasn't at this ultra-high grade that we have at the Pinyon Plain Mine. So for 2025, we expect to have finished Uranium between 700,000 pounds and 1 million pounds by the end of the year. And one of the reasons, if not more, is we're preparing the mill to run hard. The mill has not been asked to run this hard for decades. So, there's a lot of work that's being done on the mill. There's a lot of ore that's being mined and delivered to the mill to get that material to be available for feed as the mill starts up. And we're also looking at things like critical spares because, again, the mill hasn't run this hard. So, there's a lot of work going on. But when the mill is actually running with Pinyon Plain ore, it can be doing approximately between 230,000 and 250,000 pounds of finished Uranium per month that it runs. So, there is a bit of a lead lag between the time we mine things and we process things and we do a campaign run. And I think that's important, and we'll go into more detail today on that because it's important for investors and analysts to understand those dynamics. Next slide. So Uranium moving forward, the newly mined ore I expect that we're going to be able to mine 1.6 million pounds per year or greater going forward from 2026. We still have a lot of exploration to do in the Juniper zone. But what we're seeing, we're super encouraged with the grades we're seeing, the increases in Uranium that we're finding in the main zone, the Juniper zone and literally pretty much everywhere we drill, we're seeing to find additional ore, but we have more work to do on that front. The mill run, the next mill run is planned to be beginning of October, and that's going to go from the kind of Q4 into '26. With this mill run, the next mill run, we expect to produce between about 1.1 million to 1.4 million pounds of finished Uranium during that run. When you look at Pinyon Plain, and this is what's extraordinary. On average, Pinyon Plain ore, mining and transport costs are expected to be $10 to $14 a pound recovered. That is remarkable. And when you look at that after it's processed, so now for $10 to $14 a pound, it's delivered. And then when you process that ore, the cost of processing about $13 to $16 per pound. So, when you combine those, that's when you get cost of $23 to $30 per pound recovered. And we believe those are absolutely exceptional to our peers, not just in the United States, but globally. So right now, when you look at our cost of goods currently, we have 725,000 pounds in inventory of finished goods, and those are currently on the books between $50 and $55 per pound. And a lot of those pounds need to be sold at that cost of goods pricing at those prices because that was the cost of making those pounds. So, as we ramp up our Uranium production, particularly with these lower cost of Pinyon Plain alternate feed and other mining feeds from wherever we're getting from Pandora or La Sal, we see these weighted costs to start dropping, and we expect them to be between $30 to $40 per pound in Q1 of '26. But as more Pinyon Plain ore is mined, these costs should continue to drop. So, we're in a position where we have to clear out the existing cost of goods in inventory to this transition as we ramp up our Uranium production and get the economics of scale and the benefits of the higher grades. Next slide. So, Pinyon Plain, and I've said this to many of you, I built that mine in 38 years ago, and it is exceeding my expectations on every front with regard to the grades, the low cost and larger than originally expected with upside exploration potential. In an earlier part of my career, I mined 4 breccia pipes. As a matter of fact, the largest, most successful breccia pipe ever mined on the Arizona strip was Hack 2, and it was about 7 million pounds of Uranium. And it is my hope that Pinyon Plain is going to be much better than Hack 2, but we still have exploration to do to further quantify that. But it absolutely has better grades than Hack 2. So that's a really great outcome for our company, particularly at this point in time. So, we discussed, and I said, we mined over 600,000 pounds in the 3 months ending June 30, great outcome. The grades have been double, in some cases, triple what we expected in certain areas. There we likely believe that there's going to be more ore in what we call the main zone, and then we shift to the Juniper zone, which is lesser explored, and it starts just literally a few hundred feet, 100 to 200 feet below the main zone. The recent exploration drilling that we've done has confirmed super high-grade areas just below the main zone. So we're driving drift down to that lower zone, and we'll be putting in additional drill stations to expand that. Approximately half of the breccia pipe that this ore is contained in has had very limited exploration. So that's why we're really encouraged about the upside. So, in the little box, that little yellow box, I talked about the $23 to $30 per pound really commencing in Q4 of '25 and going into '26 as we are able to deplete this existing cost of goods sold that I mentioned at that $50 to $55 per pound and shift over to more Pinyon Plain ore, our cost of sales will drop materially. And as I said before, and I want to repeat, none of the high grade from Pinyon Plain has been processed to date. We have to get that ore processed where we see those very low costs that I mentioned about getting that material to the mill at these exceptional costs. Next slide. So we continue to grow our portfolio of long-term Uranium sales contracts. We have 4 existing contracts. We are continuing to look at other opportunities as they present and particularly as they present with the growing Uranium production that we are seeing and expecting this year and into next year and on for a number of years. We have 300,000 pounds of contract deliveries that are happening in the last 2 quarters of this year. So you're going to see a real increase on our contract sales coming in strong, but we also have the ability to make spot sales if we elect to even in 2025, '26 going forward. We will have plenty of finished goods to do that if we elect to. There has been a reluctance for us to put product into the market at like the $70 per pound. We did sell a small amount for $77 a pound. We still believe the price of Uranium is going up. And so we're going to just play that by ear, but we're really looking at ramping up our revenue stream and our margins over the next, literally over the next few months. We also have an agreement to purchase ore from a third-party miner, not too far from the mill, and we have ore coming in from that third party at this time. Next slide. I flipped one page too soon. Okay. So we'll shift gears from Uranium to Rare Earths and Heavy Mineral Sands. As I said earlier, we're making rapid progress on that front and really getting a lot of recognition as an emerging rapidly expanding producer of Rare Earths oxides. NdPr that we've made with our Phase 1 run that we did last year is currently being validated with a number of metal alloy and magnet manufacturers. We're very encouraged with the results that we're getting from that feedback. We announced the arrangement or the relationship with POSCO. We're piloting heavy Rare Earths as we speak, and we've had a few releases on that. We plan to have 1 kilogram of Dy oxide, 99.5 pure in August this month, expanding that to about 15 kilograms of Dy by October of '25 and then a kilogram of Tb expected 99.99% pure in October. So all that information gives us the ability to have our plans solidly in place for going towards a commercial production plant quite rapidly as these things evolve. And we have the technical ability to produce all the Rare Earths oxides that are currently under Chinese export restrictions. We are advancing the Phase 2 feasibility study at the mill. That should be completed October, November, and that increases the capacity to produce monazite or process monazite from 10,000 tonnes, which is our Phase 1 capability to 60,000 tons per year of monazite. And that is equivalent to Lynas scale. So this is a large-scale facility in the United States of America. The final investment decision on Donald is still pending. It could be as early as December of '25, but it is fully permitted, shovel-ready Heavy Mineral Sands project with exceptional heavy Rare Earths oxides, very high grade, over 2% Dy and about 0.4% Tb. So we're really excited about that and very few companies have fully permitted projects that are shovel-ready. We're also advancing Toliara project in Madagascar. We're advancing the final investment agreements under negotiation with the government and the Toliara feasibility study is very advanced and should be out fairly soon, but we got to make sure that we clear all the final reviews by legal and whatnot, particularly with regard to United States compliance. But the final investment decision for Toliara could be as early as 2026. Next slide. Let's talk about monazite because monazite is our structural advantage in the Rare Earths business, the ability to process it at the White Mesa Mill, and it is simply a superior Rare Earths mineral concentrate. Super high grade, 50% to 60% more NdPr more mids, more heavies, lower cost, includes a credit for Uranium, easy to process and high recoveries, and we are the only facility in the United States that can process monazite. Those pictures on the side, those are commercial scale recovery SX circuit. Most people are still doing things on a desk or on a lab scale, and this is a commercial facility that operates in below 1-ton bags, super sacks of NdPr, not in a beaker. So, we have proven our ability to produce NdPr at specification, and we're rapidly advancing the ability with our piloting and our future plans for commercial scale recovery of both the mid and the heavy Rare Earths oxides that could be used for defense needs. Next slide. So growing leader in the industry. If you compare our market cap to MP and Lynas, we're the third largest publicly traded company outside of China in the world focused on these critical minerals and Rare Earths. I've talked about certainly the Rare Earths, the heavy Rare Earths are in high demand and the shortage because the world is so dependent on Rare Earths, heavy Rare Earths, particularly from China. And we talked about the work that we're doing on the separations. We are, the Donald project is a world-leading heavy deposit in the [ Break ] [Technical Difficulty] Spot. Benchmark has done a new update of both in China and out of China prices. NdPr prices have gone up about 20% in the mid-70s, as I mentioned. But what is really extraordinary is benchmark is publicizing Dy prices in Europe of $800 per kilogram as compared to $230 in China. So that's almost 3.5x higher for Dy. And when you look at Tb, it's effectively the same thing that the China price is around $1,000 per ton, but in Europe, it's $3,600, which is 3.6x. So, this is really an unusual circumstance that we have where people are saying they will pay more than China prices for products that are not coming out of China. Next slide. So, this time line, many of you have seen this before, as we're advancing the Donald project, the Bahia project, the Toliara project, those all equate to Lynas scale in due course once those are fully permitted, constructed and operating. But at the bottom, I just want to highlight that we are ramping up this Uranium production from 2 million pounds in due course, could be up to 5 million pounds, while the Uranium sector of our business is generating cash, material cash. Material cash! And when you look at the margins that we can generate with the increased Uranium production and even current Uranium prices, it is extraordinary. Next slide. We'll talk a bit about our financials. Next slide. So really producing low-cost Uranium end of June 30, developing Tier 1 critical mineral assets, maintaining a strong balance sheet. We had liquidity at the end of June 30 of over $250 million. That's about $253 million of working capital. A large component of that is cash, cash equivalents and liquid market securities and also inventories and various trade receivables. The finished product inventory was nearly $60 million. And if you add that at current commodity prices, you could add about $13 million to liquidity. I talked about the finished goods of Uranium. We also have nearly 1 million pounds of Vanadium, 9,000 kilograms of separated NdPr and carbonate and, well, I should say, 9,000 kilograms of high-purity, partially separated mixed Rare Earths carbonate and 37,000 kilograms of separated NdPr in inventory. No debt. We have a lot of assets and no debt, and that in itself is exceptional. We did have a net loss in Q2 really on a number of factors, but mainly we elected not to sell a bunch of Uranium due to the low and weak Uranium prices. We're also spending a lot of money on development and general operating costs to advance these 3 projects that we have. The net loss was $22 million or $0.10 a share. That is an improvement from Q1, which was a net loss of $26 million and $0.13 a share. And as we start getting to this increased Uranium production, the Pinyon Plain ore and everything, you should see a very dramatic improvement because of the investments we've made and the positioning and the momentum that we're securing there. We did sell 50,000 pounds of Uranium at $77 per pound. I think I've mentioned to a number of you that I don't want to sell Uranium below $80 a pound. We took a small sale there. But we, again, are focused on cash flow and our margins and moving the Uranium sector to profitability as quickly as we can. We did have a 31% margin on that material that we sold. Next slide. Let's go back to the kind of the wrap-up on Uranium. We're actively mining ore, 3 conventional mines. We're actively processing Uranium ore, including alternate feeds and cleanup material at the mill, increasing levels of contract sales, as I mentioned, later this year into next year and building on that going forward. The cost of goods is going to go down, trending lower starting in Q4 with the low-cost Pinyon ore being processed. We will opportunistically look at selling Uranium on the spot or in the midterm markets. Again, we'll play that by ear, but we are actively looking for a home for a lot of the Uranium that we'll have that will be marketable and sellable at short notice. We are increasing the Uranium production up to around that 2 million pounds plus. And as I mentioned, we expect the Pinyon Plain mine to be producing 1.6 million pounds or greater. So you can see we're going to get there with alternate feed and the other feeds that we have from the other mines. We are advancing the permitting on 3 large-scale Uranium mines. We have the Roca Honda on the Fast-41 government list, and we can increase production over time beyond the 2 million pounds up to 4 million to 6 million pounds. And we're continuing to do the R&D on the radium recovery, which potentially can be used for Medical Isotope cancer treatments. Next slide. So, we haven't materially changed our guidance on any front, but I do want to point out a few things because I think this slide says a lot and it's important, certainly for analysts that as we mine the Uranium, that doesn't mean it's instantly processed. So, we have guidance of 875,000 pounds to 1.435 million pounds. But I want to point out, we did over 600,000 pounds in a single quarter. So, if we're mining Uranium at full tilt, we can get well past that. But we're keeping guidance where it is right now because we're ramping up our trucking and we're getting our mining fully in place. The alternate feed, we haven't changed anything, but alternate feed still is a very material part of our business, up to 200,000 pounds for the year. The processing of Uranium, the 700 million to 1 million pounds. I talked about getting the mill ready, the critical spares ready. When the mill is running Pinyon Plain ore, 230,000 to 250,000 pounds of finished goods per month when the mill is running. So you can see you run it for 4 months or 6 months or 7 months or 8 months reliably and you get large quantities of finished goods at large margins. Sales under contract and the small sale that we did earlier at 350,000 pounds, we are going to focus on making spot sales if it makes sense or additional contracts to find a home for some of that product. Finished goods by the end of the year, and again, this could be subject to any spot sales, but between 900 million and 1.2 million pounds of finished goods. That is enough for all our contracts this year, next year, a matter of fact, all the way through next year, depending on how many pounds we sell under spot. So total inventories at the end of the year between about 2 million and 2.5 million pounds. Now if you go up just the next level above, you can see a big chunk of that is finished pounds, but it's also Pinyon Plain pounds, but are yet to be processed. Next slide and last slide. 2025 activities for the Rare Earths and Heavy Mineral Sands. We are looking at potentially being in a position to commercially produce heavies in 2026 following our current Uranium run, but we definitely will have the piloting complete, and we'll be looking at how we can ramp that up in due course. And only Energy Fuels has unique capabilities and how we can respond and do a lot of these things that others can't do because of our unique capabilities at the White Mesa Mill. The Phase 2 Rare Earths expansion at the White Mesa Mill, which is the complete separate facility separate from the Uranium mill, have the capacity of 6,000 tonnes of NdPr, which is 6,000 tonnes of monazite and also the ability to produce Dy and Tb, and we should have the feasibility study out in a few months' time. We're currently piloting the heavies, as I mentioned, the Donald project FID could be as early as this year, later this year. Potential offtake sales financing options are being evaluated, including the increased cost and value, not cost, but value of the heavies. Toliara project, we're getting close to finalizing the feasibility study, but also could well be in a position to make a final investment decision as early as 2026. We're pursuing the final agreements at Toliara that basically memorialize and formalize the fiscal terms with the government of Madagascar. And we're, the drilling at Brazil and permitting of the Bahia project is advancing. We hope to have a resource estimate soon later '25 or '26. And front and center is developing a final comprehensive project financing strategy because we have a lot of projects, but we again are going to maximize this Uranium sector to generate as much cash as possible and take off some of the burn on these other 2 sectors that are developing rapidly. So I'll stop there and say I'll now open it for questions that anybody might want to ask.
Operator: [Operator Instructions] And your first question comes from the line of Nick Giles with B. Riley Securities.
Nicholas Giles: My first question, obviously, there's a ton of excitement across Rare Earths. And I have to imagine others are trying to have discussions with agencies like the DoD that I think you hinted to last quarter for potential offtake in funding. So my question is really, what do you feel is the most critical differentiator, specifically in the eyes of those agencies that gives you a greater likelihood for either offtake or funding so on?
Mark S. Chalmers: Well, I think we, when we say we're going to do something, we do it. And we also have the infrastructure to actually do it. You can take people to the White Mesa mill, and there's a built operable site with 100-plus people working there, laboratories, a Phase 1 separation circuit. You've got product that has been qualified by some of the end users. And you see the number of projects that we've accumulated. I mean we're not just a one mine company. I mean we have Bahia, we have the Donald project. We have Toliara. We have an agreement with Chemours. We secured the monazite from Florida and Georgia. So what they see is scale, low cost infrastructure in place and the skills required to advance. And I think that really sums it up at a high level. And you can go touch and feel it. It's interesting. A lot of people are in D.C. talking about their projects. Well, they don't have any project. They have a PowerPoint presentation. And we actually have a fully constructed site in multiple projects that are advancing in a lot of cases, permitted to advance. The molecules. We are the molecule machine and a lot of people are short of molecules.
Nicholas Giles: Mark, I appreciate that perspective. Maybe just a follow-up. Can you just walk us through your plans to procure sufficient levels of feedstock as we think about processing as early as Q4 '26? I mean, should we think about this is coming from Chemours, or could you explore other sources outside the scope of energy fuels?
Mark S. Chalmers: Yes, that's a good question because really on the Rare Earths front, and we're constrained on feedstock. I mean, right now, the only feedstock we have is what we get from Chemours. And they, once or twice a year, they send us a few hundred tons, and we're stockpiling. We're getting a fairly reasonable stockpile built up. But there are other companies that come to us and ask if we would be willing to procure monazite from them, and it could be from pretty much any place in the world. A lot of them are shipping to China right now. There are companies from Australia and the United States that are still shipping monazite to China. It's not a good look. So, we're always open to looking at what opportunities may be out there to procure additional material. and stockpile it at the White Mesa Mill and then run it in due course. So, it's dynamic. I don't have a complete answer there, but we're building up inventories. We're still talking to people about buying inventories. But once we get projects like the Donald project, if it passes the final investment decision, it gets built, then we start having world material commercial scales that are coming from our own operations that we can depend on because it will be coming at a regular rate and an expanding rate as we get these progressive projects in line and operating.
Operator: Your next question comes from the line of Heiko Ihle with H.C. Wainwright.
Heiko Felix Ihle: Congrats on another good quarter. It's been nice to watch you guys transform the farm over the last few years here. Let's talk about Pinyon Plain a little bit. The site is obviously a big driver for the farm right now. I mean I searched your press release and Pinyon Plain has mentioned 20 times in it. You mentioned $23 to $30 per pound in costs earlier on this call. And then in the release, you actually break it down $10 to $14 for transport and $13 to $16 for milling costs. Great margin at those prices. Let's talk about what things could move us from the lower to the upper end of this guidance range, if you'd be so kind. I mean, especially on the mining and transport, you got a 40% range. And is it labor? I mean you know the mine, sorry, the mill quite well. So I assume there's only so much variability there in that part.
Mark S. Chalmers: Yes. Heiko, I mean, on the guidance, we're always trying to be conservative on our guidance. And I was trying to hint a bit that if we get 600,000 pounds in a quarter, we can put a lot of pounds out there or send it to the mill. Our biggest limitation has been the truck and trucking from the mill, and we're building that up. We currently have about 10 trucks per day, 5 days a week, and we're trying to get that up to, well, it will average no more than on an average on a daily basis, 7 days a week, no more than 10 trucks per day. But that's really the limitation. I can tell you, if there was no limitation on the amount of ore that we're hauling from the mill or to the mill, we could be putting a lot of more Uranium down on the ground right now. But what we're doing is, as we're producing the Uranium, we're also doing the required development work down to the Juniper zone as we are advancing the development there so that we can put in additional drill stations and we can do more drilling. So we're trying to keep it balanced. And, but yes, the trucking is the major impediment there, but we're working to resolve that, and we're building up momentum on that front. And also, it's grade dependent. So you have to have the trucks and you have to have the grade. The average grade we've mined thus far has been about 2%, which is very, very high grade. So you can get about 30 pounds per tonne in every truck. And so that's the reason for the range. We hope to beat guidance, okay? But we haven't changed the guidance. And our goal is always to exceed guidance. But until we have all those pieces together, Heiko, we're being a little conservative.
Heiko Felix Ihle: Fair enough. Fair enough. It's, one can read between the lines here a little bit better now. You, completely different question. You have the strongest balance sheet the firm has ever had since I started following it the way it is right now. Arguably, this is even more impressive given your recent M&A. Conceptually, has your internal thought process on minimum cash or minimum working capital changed over the past, call it, 12 or 24 months?
Mark S. Chalmers: Well, look, I mean, we've got a lot of activities, Heiko. And a lot of these activities could require cash in different shapes and form, whether it be an M&A transaction potentially. It could be some of the certification payments required for Toliara, which can take a pretty large load on us. I've always been of the believer to have a very strong balance sheet because Murphy is out there somewhere. But I think really from a management perspective and a Board perspective, the focus has been just to maintain that strong balance sheet to have plenty of cash and be in a position that we are not short cash because the last thing you want to be in this business is short cash, particularly when your success makes you short of cash, depending on what makes you short of cash.
Operator: Your next question comes from the line of Katie Lachapelle with Canaccord Genuity.
Katie Lachapelle: Two days ago, we actually saw some reports out of Australia that the Australian government is considering setting a floor price to support critical minerals projects, specifically Rare Earths. So that would be very similar to what the DoD did with MP Materials. I'm just wondering in your discussions with you and your partners at Astron, have you been in discussions with the Australian government regarding potential funding support for the Donald project or potential floor prices? And then similarly, do you also think you could see similar support from the U.S. government?
Mark S. Chalmers: Yes, Katie, thanks for calling in. Yes, this whole world is talking about floor pricing to provide some protection to China manipulation and China costs. Yes, we have had discussions with Astron. I've had discussions with the Australian government on all these things similarly to what we've had discussions with the U.S. government. I think the realization is that you will never be able to material break away from China unless you have some level of support. And so I'm very encouraged with these announcements and with what we're seeing with MP, because it just gives an insurance policy that China isn't going to flood the market and put you out of business. So it's all work in progress. I mean, really, when you think about it, the floor pricing discussions are fairly recent. They've come out over the last month or so, month or 2, but it obviously is getting additional traction. So again, I think we're ideally placed. As I mentioned, when you look at MP and Lynas and we're the third largest market cap publicly traded Rare Earths company out there and you look at the scale that we have, I mean, I think we're just so well positioned that the activities we've had, Katie, over the last 5 years with the acquisitions and the advancement of our processing just puts us in a very, very unique position.
Katie Lachapelle: Definitely. And then maybe one follow-up on potential support from the U.S. government. are you of the view that the U.S. government will be more likely to allocate funding or support towards the expansion at White Mesa? Or do you think they would extend beyond the United States and actually look to potentially provide support on the development projects to Toliara and Donald?
Mark S. Chalmers: Yes. Look, I think the U.S. government in the first instance, prefers to advance and fund projects that are in the United States. But you also have to get back to the realities of the United States. With the exception of Mountain Pass, there really aren't a lot of quality Rare Earths deposits in the United States. I mean you look at the monazite we get from Chemours in Florida and Georgia, it's high and heavies. So, I think they prefer the United States, but they recognize they have to have a global footprint. I mean you look at how they've reached out to Australia in a number of cases, certainly Canada and even into Africa. The U.S. government is interested in securing reliable material scales so that they have some geographic diversity. So, I mean, they prefer, but yet at the same time, the realities are there are not a lot of heavies in the United States of America, unless it comes really from the monazite. And in the case for us, you have the Donald project in Australia, which is high and heavy. So, but we think the appetite is there from a number of different angles with the U.S. government to help finance projects globally. And it could be floor prices alone would be sufficient.
Operator: Your next question comes from the line of Justin Chan with SCP Resource Finance.
Justin Chan: Congrats on being where the puck start being where the puck is starting to go early, strategies coming together. Just a few questions. One is on Astron and Donald. So just to confirm the financial side of things in FID, can I confirm that, so you will essentially make a payment if you both elect to go ahead with the project of AUD 183 million, and that will secure your 49%. And then that amount is payable towards your share of CapEx? Or would your share of CapEx for Donald be in addition to that $183 million?
Mark S. Chalmers: No. The $183 million is really our buy-in to the project and the equity portion is really what is geared around. Both parties will have to pay their own debt portion pro rata on their share and any additional equity that might be required to obtain financing. So, but yes, really our buy-in. And Dave, I don't know if you want to add anything to that.
David C. Frydenlund: Yes. No, that's right. The $183 million would basically cover the equity contributions of both parties, and that would be our buy-in. Our buy-in would be paying Astron's equity contribution, and then we would pay our own, and that would all total to $183 million. And as Mark says, if that increases at all due to financing needs, that would be paid pro rata by the partner.
Mark S. Chalmers: So basically, our buy-in on that project was about $60 million or thereabouts. And so far, I mean, with some of the prefit work and everything, I think we've invested about $20 million or something around that at this point in time. So yes, we're pleased that we have that project, and we have that project permitted and it's at a good address in Australia and permitted.
Justin Chan: Got you. So that, just to make sure I'm clear on this. So that $183 million goes into, let's say, the Donald Project Co? Or does that go to Astron? And then I'm just trying to calculate like what the balance to fund is.
David C. Frydenlund: Yes. It goes into the joint venture.
Justin Chan: Right. That $183 million is available for both of you?
David C. Frydenlund: Yes, the $183 million goes into expenditures by the joint venture in advancing the project. Right.
Justin Chan: I see. So, you could effectively as a group, debt fund the remainder then?
David C. Frydenlund: Yes, absolutely. Yes. As Mark said, that's Australian dollars. They're a lot smaller than U.S. dollars.
Justin Chan: Yes. Okay. Got you. And then could you maybe talk us towards sort of what the next steps are for confirming FID there now that it's got its permits? Is it just investigating offtake? There was a revised capital estimate, I think, less than a year ago. I'm just curious what the next steps are.
Mark S. Chalmers: Yes. It's really focused on bankable offtakes, both for the Heavy Mineral Sands and the Rare Earths products is really what it boils down to. And we're looking at that in relationship to the capital operating costs, returns on the project. So that's really the bit is getting the bankable offtakes, securing financing and getting the position, the project ready to go, [Break] [Technical Difficulty] but it's not over until you get all the money to do the project. it is relative to the Rare Earths world, it's a pretty small strike rate. I mean if you look at in U.S. dollars, it's around $300 million for the project, the combined both parties in terms of, so yes, watch this space, Justin, but we've really got to get the bankable offtakes and be in a position to get the financing to make the FID decision.
Justin Chan: Got you. And maybe just a bit more color on that. So is it offtakes more on the titanium and zircon products or on the Rare Earths side of things or both?
Mark S. Chalmers: Both.
Justin Chan: Okay. Perfect. And then on Pinyon Plain, especially, I mean, you've been way outperforming the reserve grade. The drilling has been encouraging. Just wondering what your time lines are on putting out an updated either reserve or mine plan to help the market kind of start pricing this into the long-term outlook for your company?
Mark S. Chalmers: Yes. We've got SOR working on that right now. I don't know, Dave, have you heard the exact time line on that. I mean they've got some stuff that's still into the laboratories for analysis and they're pulling together. What's interesting about the Pinyon Plain, and Justin, you'll appreciate this, is that the, what we think we're seeing is that when the original modeling was done, the model constrained on high grades and the area influence of the high grades to be conservative. And what we've seen and what we think we've seen is that we didn't need to constrain it because those high grades actually were, could be projected out for quite a large distance. So that's why we're getting this significant increase. Also, even though we've done drilling in the Juniper zone, as I mentioned, over half of that Juniper zone still has a whole pile of drilling to do. So, I think what you're going to see fairly soon, probably, I'm guessing by the end of the year, an update on the resource and then there's going to be this geologic potential to expand this further. And what you're also seeing is that when you look at some of these grades like 5%, 7%, you can fit a lot of Uranium in a very small space like you see in Athabasca. Effectively, the Pinyon Plain mine is a miniature Athabasca mine with the grades that we're seeing, and it doesn't take a lot of space to hide a lot of pounds if it's very high grade.
Justin Chan: Absolutely. Yes, it's doing great. Just can't wait for, I guess, more data to just price it into the long term. And then just one on, I guess, Toliara and maybe the Rare Earths master plan here. In terms of, I guess, pressing the button on the Phase 2 expansion for White Mesa, you imagine that you would, that would be around the same time as FID on Toliara, i.e., you're mentioning you could make that decision next year?
Mark S. Chalmers: Yes. I mean, right now, our main focus is on the projects that we have that are fully permitted and can go forward right now. So, when you have Donald, you have the ability to receive material from Chemours and you can receive from others. And then you look at where we are with the White Mesa Mill. Now we still have to submit our Phase 2 documentation to the state of Utah for final approval. I don't believe that we may pull the trigger on Phase 2 even without all the permits in place on Toliara. Now in the perfect world, we'd like to have both, right? But it takes time and how we phase things is still work in progress, Justin. But we want to have the larger scale. We want to have the separate plant and the ability to process both Uranium ores unimpeded and Rare Earths ores unimpeded as soon as we can. And we'll just be evaluating how best to do that. So just quickly, the Pinyon Plain resource update should be December, not to change topics. But we see the expansion of the White Mesa Mill in the United States is something very attractive for whether it be the government or even private parties because of its ability to produce monazite. And we'll just see how that unfolds with the various other projects we have.
Operator: Your next question comes from the line of Zach Perry with Robertson Stephens.
Zack Perry: Mark, congratulations on another good quarter. People have really kind of hoped at the financing of Rare Earths, obviously, is a big geopolitical game, as I've always said. And I hate to have you try to read the mind of the government. But does the U.S. government understand both the structure of your supply chain, what you need to do? And if you get to scale your superior volume and cost structure? Because if so, you would think that you guys would be a very high priority after they sort of walked in with saving MP.
Mark S. Chalmers: Yes. Look, Zach, thanks for calling in. I think with the U.S. government, it's part of it's an education process because most of the people in the U.S. government are not like Rare Earths technically skilled mining engineers, processing engineers. I mean they have some of that. But, and you just have to keep telling your story and showing that you can advance your story. And I think, though, it is resonating with them that there are a lot of stories out there, but there really are only a handful of legitimate stories. I mean a lot of them are more hopes and wishes, and we can do it if you give us money stories, and we're not that. So I think that they're getting more up to speed with how this market interrelates and the importance of each step. And I think they're also aware that they can't have investment in a single project that they have to have multiple projects because, as you know, Zach, a lot of projects will fail or underproduce, or may never produce. So I think they're getting up to speed. But what's remarkable is how keen they are to reshore a lot of these capabilities and get world- scale molecules and not just world-scale molecules for the Defense Department in the U.S., but countries like Canada and the European Union, even places like Japan, they need molecules, too. And you don't have those mines in Europe and you don't have those mines in Japan. So it's kind of a global issue. So I think they're getting it more, but it's been a learning process, and it's been a learning process for a lot of people.
Zack Perry: Got it. And could your time lines be sped up if the government push fast forward on their support?
Mark S. Chalmers: Look, money can speed up a lot of things. But you also have to look at the practicalities, too, because you have things like how much can you speed up the permitting, how much can you speed up the construction and long lead times and things like that. So yes, it can be sped up. The question is how much. And, but what's interesting and unique for us is, for example, we have the Phase 1. It's already constructed, and we have Donald permitted. So we can speed up at least to the capacity of Phase 1 for the lights and potentially the heavies quicker than others can. So that's a unique position that Energy Fuels can do Uranium. It can do the Rare Earths at the Phase 1 scale, and/or in the future at the Phase 2 scale. So we have stepping stones that others don't have.
Zack Perry: Got it. And then real quick on Uranium. Congrats on proving an incredible cost structure. Now Uranium market has sort of been in a Mexican standoff for, I feel like a couple of years in terms of pricing. Pricing has gone up a lot, but we haven't seen true contracting at what you would expect high prices needed to create increased supply. And obviously, I think that's what you're waiting for. What actually finally breaks that standoff where you actually see contract pricing come in at volume at a price that we might think clears the market?
Mark S. Chalmers: I think it's just the beginning, but I think that the utilities are starting to see where a number of new producers are failing to deliver on time and are struggling. And we've seen that starting to emerge over the last year. And a lot of the discussions we have with utilities is that they need more product. In our case, they flexed up on some of our contracts because they're short of material from new producers that are not producing. So, I mean, there is a pretty active market right now. I mean we're getting quite a few RFPs coming in. And again, the term prices are $80 or even higher. So, you do have a higher term price than the spot, which I think reflects that the utilities believe that the price is going to be higher. and the ceilings are going higher, and the floors are coming up. So, I think all the pieces are in place to see these improvements in the spot price and the term price going forward.
Operator: Your next question comes from the line of Noel Parks with Tuohy Brothers Investment Research.
Noel Augustus Parks: Just a couple. I just wonder, and I apologize if you touched on this earlier, but could you just talk a little bit about, there's still all the excitement with the SMRs versus the different projects for restarting existing legacy reactors. And could you just talk a little bit about sort of a reality check on the legacy versus the SMRs and their sort of their impact on Uranium demand because I feel like they tend to get sort of discussed as a little bit lumped together. So, any thoughts there would be great.
Mark S. Chalmers: Yes. No. Look, the quickest way to increase demand is restart a reactor that's already built. And I think that's surprising people because you're seeing even reactors in the United States that are being restarted. I mean you look at Japan, Japan shut down all these reactors after Fukushima and they're restarting them. So, the demand is going to increase quicker with restarts because given 6 months or a year or 2 years, they can restart and they have to be reloaded and you see that where they have to go out and buy the Uranium. SMRs are ways off, quite a ways off. And so, I think the disconnect is that it's just that, the existing, it's really no different. If you have a permitted mill, you can do something with it. If you don't have a permitted mill, you can't. So, when you look at from the mining or processing side of things. So yes, I see the restarts as immediate demand, and you can bank on that, particularly when you see big tech companies putting the money into the restarts and the utilities signing an agreement. That's the way to get the demand up quicker. And SMRs are work in progress and you're looking out probably at least 2030-ish or so before that starts to become a real factor. But it takes time for all these things. It doesn't matter if you're mining or you're doing nuclear power plants. It takes a lot of time to get the permits and to build them. And, but I'm really encouraged with what I'm seeing with restarts.
Noel Augustus Parks: Great. And just to clarify a bit for me. So is there a time horizon, and I know I'm asking you to predict the future, which is always hazardous. But do you have a sense of a threshold where perhaps the SMRs, some of those go into FID, their plans become more concrete where the market starts to sort of backfill a bit and start thinking about what premium, what sort of time premium really should be built into the price to sort of make sure that wherever the demand is coming from, that any given party can lock in supply and not be the last one trying to crowd through the door. And any sense of in advance of the SMR going live that you could see the pricing ripple into the market?
Mark S. Chalmers: Yes. Look, I think that the best way to get a handle on that is you go to TradeTech or UX, and they have forecasts that are a lot more scientific than I can give you over the phone or on this call. But I do see this that I, and after being in the business for coming up on 50 years, I don't know how we're going to fill the demand, with new Uranium projects. And I think when you look at existing projects that are becoming mined out and have to be replaced, whether it is anywhere around the world, if you start to double the demand for nuclear fuel products, you're going to have to double the mining of new Uranium. And people haven't explored for Uranium for decades in any material way, and I don't know where it's going to come. So I think all these pieces, including the restarts, SMRs, but also the build rate in China, I don't know where they're going to get all their fuel.
Operator: Your next question comes from the line of Gary Steele.
Gary Steele: I hope you can hear me all right.
Mark S. Chalmers: I do, Gary. Thanks for calling in.
Gary Steele: Absolutely. Absolutely exciting quarter beyond belief after having watched the company for many years, what a treat. A couple of questions. With all the press and excitement around this Ramaco thing up in Ranchester, Wyoming and of course, Mountain Pass, is there anything you can share or would be at liberty to share regarding any synergies or opportunities with those 2 projects?
Mark S. Chalmers: See, I have to think about that, Gary. I think, again, we go back to this differentiator being monazite, monazite sands, very high grade, good distributions of NdPr and heavies and the economics. So I mean, our strategy is different than theirs. And for me, as a mining engineer, grade is always keen when you're processing things. So yes, I mean, I don't really know the synergies between the groups other than we will have probably likely more heavies than any of them with the projects we have and the monazite deposits we have. But everybody in the Rare Earths space is getting attention right now. And I do think that the realities of the cost of production and the grade of these deposits is really going to, something that's important in the scheme and the economics going forward. And we know with what we've done thus far and the monazite that we've received and the project we have that we're going to be a low-cost producer. So we're focusing on being a low-cost producer. And the others will have to do their studies and make sure they can process and do the things that they say they're going to do.
Gary Steele: Sure. Another totally separate question. I assume that your Uranium runs and your Rare Earths runs have to be done separately and involve a cleanout and turnaround between runs. Is that accurate?
Mark S. Chalmers: Yes. We're trying to be flexible here. Right now, and just conceptually, when we talk those 2 million pounds per year or thereabouts, that's about an 8-month run or 9-month run. And we can have a window between that run, a Uranium run and the next Uranium run and a Rare Earths run. So, but we're going to be flexible because we can generate really exceptional margins on the Uranium. We've got to have enough Rare Earths feed to justify a run, but it does take time to switch over. I mean the mill; you don't just flip a switch. It probably takes a month to retrofit and take certain equipment out of the tanks and whatnot about a month each direction. So, we want to minimalize that as much as possible, but we really want to make sure that we're really focused on our best margins for our shareholders going forward. But we have the ability to do both, but it isn't a switch, until we have Phase 2, okay? Phase 2 will be completely separate, and they can both run independently, and then we will not have to do that.
Gary Steele: So Phase 2 will add new front end to the SX circuit so that you can run both materials independently from one another?
Mark S. Chalmers: Correct. Completely independent. And Gary, you know this. The mill has not been ran at capacity for a lot of years. And I think that our best years are ahead of us because I think we are going to need to run both our facilities at or near capacity going forward, including the Phase 2 plant.
Operator: And your final question comes from the line of Aaron Vadakkan with Alta.
Aaron Vadakkan: Congrats on all the progress this quarter. I was, I'm glad you brought up the benchmark ex-China pricing. It's really exciting and something that I've been looking at, too. I was just wondering if you could share how those prices and how those changes have impacted your offtake conversations?
Mark S. Chalmers: Well, the benchmark prices came out a week ago or so. So, it's recent, okay? But what's interesting, I did get a text message this morning from another forecaster and said, they think they're low, okay? They are actually higher. No, I haven't verified that. So, I mean, I think it kind of goes back to this whole story on these floor prices that people are realizing that you got to pay more if you're going to compete with China. And I have to admit, it surprised me when you had 350% more with this first publication. So, I mean, it's certainly not going to hurt them. And we think that this whole concept you have to pay more is a reality. And I think that's gaining traction. I think the MP deal proves that the government thinks you have to pay more. And let's see where it goes. But the Australian government talking about floor prices, I think everybody is just realizing that there's got to be a different market. Otherwise, you're truly not independent.
Kim Ronkin Casey: I just want to thank you all for calling in, for watching the webcast. We very much appreciate your participation. I just want to remind and let everybody know that our management team will be attending several upcoming industry and investor conferences. I'm just going to run through a couple of them very quickly. It will be the Citi’s 2025 Natural Resources Conference, EnerCom Denver, U2025 Global Uranium Symposium, the World Nuclear Symposium 50; Jefferies Industrials 2025, the H.C. Wainwright 27th Annual Global Investment Conference, the Pinyon Plain Institute, Critical Minerals Symposium, Uranium Summit, and the Power Up BNP Paribas. So thank you again, and we'll try and get all of that information uploaded onto our website so everybody can follow along. And now Mark will just say a few closing words.
Mark S. Chalmers: Yes. Again, thank you for those of you who joined. I think that really the closing words I have is we've been playing a long game. We're not playing short games, flash in the pan. We've been focused on Uranium for decades or at least the assets have. But when we added the Rare Earths, I mean, we started a journey about 5 years ago. We held to that. There were criticisms from people that we shouldn't be getting into Rare Earths critical minerals. And it's interesting because a lot of them are calling me up now and saying, "Wow, that was great. Why didn't, we're happy you did that. So, we are focused on continuing the journey to build a world significant cost competitive critical mineral company that has 10-plus critical minerals that can be produced commercially and at scale. And really, I don't know anybody who's done that. So it's been a unique strategy. We're starting to bear the fruits of that. And even with our Uranium peers, year-to-date, we've been the best producing Uranium share this year, year-to-date. And even when you look back a year or even start looking back over 5 years, we have outperformed our peers in many cases in the Uranium space. We're performing well in terms of our peers in the Rare Earths space. So this is not an accident. It's a strategy that we've been committed to and will continue to be committed to.
Operator: So thank you very much. Thank you for participating in the Energy Fuels conference call. Please reach out to the company directly for any additional investment questions. This concludes today's call. You may now disconnect.